Operator: Ladies and gentlemen, thank you for standing by and welcome to the Wausau Paper 2013 Second Quarter Earnings Call. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session, instructions will be given at that time. (Operator Instructions) As a reminder, this conference is being recorded. I’d now like to turn the call over to our host, Mr. Perry Grueber. Please go ahead sir.
Perry D. Grueber: Thank you, Brad. Good morning, everyone. Thank you for joining us. I’m pleased to be here today with Hank Newell, our President and Chief Executive Officer; and Sherri Lemmer, our Chief Financial Officer. On today’s call, we will review second quarter operating results, progress on the strategic repositioning and the tissue expansion. After our prepared remarks, we will look forward to your questions. This call is being webcast, and slides are provided to summarize key elements of the presentation. Our webcast viewer should allow you to download these slides and yesterday’s earnings release, both of which are also available from the Investor section of our website at wausaupaper.com. Statements made during this presentation, other than those that refer to past results, are forward-looking statements made pursuant to the Safe Harbor provisions of the Securities Reform Act of 1995. Such statements, including those concerning expected performance, capital market transactions, future earnings or dividends, involve risks and uncertainties that may cause results to differ materially from the expectations set forth during this discussion. Among other things, these risks and uncertainties include the risks and assumptions described in Item 1A and Item 7 of the company’s Form 10-K for the year ended December 31, 2012. The company assumes no obligation to update or supplement forward-looking statements that become untrue because of subsequent events. Additionally, our presentation refers to certain non-GAAP financial measures. A reconciliation of these measures to GAAP is provided in the appendix of this presentation. There you’ll also find a variety of other summary presentations and data points you might find useful. I’ll now turn the call over to Hank Newell, our President and Chief Executive Officer. Hank?
Henry C. Newell: Thank you, Perry. Good morning. Earlier this year, we announced our plan to narrow the focus for our company to tissue. The strategic repositioning of Wausau Paper included the intent to divest our specialty paper business, realign and reduce overall staffing and SG&A cost, and to continue to invest and accelerate growth in our tissue business. We outlined new return on capital targets for the company that included achieving a 15% return on capital by the second half of 2014 and established a new long-term return on capital goal of 18%. In June, we completed the sale of the specialty paper business. Wausau Paper is now 100% focused on tissue. Our vision is to be the leading provider of paper-based, environmentally sensitive brands and solutions to the markets we serve. We participate in the world market for tissue. Our focus is the away from home tissue market primarily in North America, which is the market of approximately 2.5 million tons. We expect the North American market to continue to grow between 1% to 2% a year. Wausau Paper has approximately an 8% share, and we expect our gross strategy over the next five years to achieve a 6% compound annual growth rate. Our value proposition is driven by green leadership, our strategic orientation, and the equity we have in our customer relations. We uniquely view the distributor as our customer and strategic partner. We provide enablers such as controlled use, proprietary dispensing, supported by proprietary converting and strong end market sales support. And over the coming quarters, a full portfolio of 100% recycled products. We are implementing a branding strategy that expands our green leadership, repositions our legacy product lines and introduces premium, 100% recycled products, in a quality range that provides complete market access to all end user segments. Our new paper machine in Harrodsburg, Kentucky, is the first Greenfield machine using ATMOS technology in the world and it is dedicated to away from home market. The machines flexibility and capability is enabling us to redefine our branding, it will be a source of new products throughout the next several years. We also has strong well-established distribution partners, with a good balance across North America, supported by a world-class operating platform that ships product cost effectively to all regions of North America. We repositioned our EcoSoft brand in terms of both quality and costs last year and are seeing the result in our current growth. We launched the DublNature family products in the second quarter and we’ll continue to add products for a full portfolio over the coming quarters. And we will launch a new premium brand ARTISAN, as we move into 2014. Our redefined brands will enable greater market access and penetration with our existing distribution partners. In the second quarter, our pro forma Tissue EBITDA margin of 13% reflects the execution of our Tissue expansion with product qualifications continuing progress in moving up the learning curve on both the new tissue machine and in our converting operations and costs for the launch of double nature. The market reaction to our products has been supportive and is reflected in strong order and shipment activity as we have moved into the third quarter. Looking ahead, we’re positioned to deliver substantial EBITDA margin improvement as we move through the second half. The driver in the third quarter will be optimizing operations as we shift into full production of all product categories. The driver in the fourth quarter will be seeing the results of the momentum being built with double nature. We expect to achieve case growth of 6% in the fourth quarter and EBITDA margins in the 21% to 23% range for Tissue. We will also see the benefit from the overall realignment and reduction of staffing and SG&A costs. Our goal is a $13 million reduction and we expect to be at an $8 million run rate by year-end with the balance achieved by mid-year next year. So, let me summarize the second quarter. We have divested the specialty paper business. We have completed the largest capital expansion in the company’s history. The new product launch of double nature is underway. We continue to grow our Tissue business at an above market rate and our balance sheet is positioned to support the future growth. As it relates to our balance sheet, I’d like to comment on capital allocation. In the short term, we have used the proceeds from the transaction to reduce debt. The priority for future capital allocation will be investment in growth. As we demonstrate improving EBITDA performance through the second half of the year, we will revisit our policy relative to the return of cash versus other opportunities to provide a return to our shareholders. Sherri will now cover financial performance for the quarter and more detail. Sherri?
Sherri L. Lemmer: Thank you, Hank, and good morning. To follow-up on Hank’s discussion, in the second quarter of 2013, we made significant progress on two key elements of our strategic repositioning initiative. On June 26th, we closed the sale of a specialty paper business, netting day one cash of approximately $105 million. Total cash proceeds of the transaction remain subject to certain post closing adjustments like the final settlement on net working capital. The sale excluded the assets of the close Brainerd, Minnesota facility with the process to separately sell that facility underway. As a result of the sale, we recorded a pretax impairment charge of approximately $64 million in the second quarter related to the write-down of property, plant, and equipment of the Mosinee and Rhinelander, Wausau Paper mills. In addition, we recognized an adjustment to our provision for income taxes of approximately $12.4 million net of federal tax benefit. Approximately $12 million of the amount recognized related to certain state income tax carryforwards that will likely not be able to be utilized to offset taxable income in the future. Following the sale, our balance of approximately $39 million of income tax carryforwards, net of federal tax benefit were be used to reduce cash taxes paid. These carryforwards include the remaining cellulosic biofuels credit carryforward of approximately $13 million. And we’ve strengthen the long-term position of our balance sheet by eliminating a portion of the obligation for other post retirement benefits. The reduction attributable to the transaction was approximately $37 million. For Tissue, as Hank mentioned the rollout of the new Greenfield certified double nature premium product line is underway. The launch officially commenced on May 20th, with 16 new products covering tissue, roll, and folded towel available in the away from home market in the second quarter. While we had originally planned to have 19 distinct new double nature products available at the time of the launch, we choose a more measured approach in order to better support our distributor base as they roll these products to the ultimate end user. Given the complexity of transitioning to manufacturing and converting capabilities and the intensive pace of change occurring in our entire organization from construction, completion to trial and qualification and finally commercialization as well as the metered launch, operating efficiencies and the profitability of the business were impacted in the second quarter. With the full range of products available during the third quarter and continued improvements in operating efficiencies, we expect improved results over the balance of the year. Second quarter and first half financial results have been restated for the sale of the technical specialty paper business on June 26. Going forward, our disclosures and commentary will focus only on continuing operations. Since we are now focused solely on Tissue, we will no longer be presenting segment information. For the second quarter of 2013 excluding special items such as the adjustment recorded for income taxes mentioned earlier, a settlement charge recorded for our cash balance pension plan and a benefit recorded due to a change in the contract for former manufacturing facility, we reported an adjusted net loss of $2.4 million or $0.05 per share and net sales of $87.6 million, compared with the second quarter of 2012 adjusted net earnings of $2.7 million or $0.05 per share on net sales of $88.6 million. Prior year adjustments to reported net earnings included expense related to the new machine construction and a charge for settlements in our defined benefit pension plans. Turning to adjusted earnings per share, to fully appreciate the adjusted quarterly comparison, it is important to understand that 2013 looks different than 2012 due to the additional machine in Harrodsburg, Kentucky, and the impacts of the expansion project that were not part of last year’s operating results. For example, depreciation expenses increased about $2.7 million or $1.7 million on an after-tax basis. And due to our policy to capitalize interest on large capital investment and therefore impacting the prior year, interest expenses increased approximately $1.5 million or about $1 million on an after-tax basis. The combination of these two elements accounts for an approximate $0.06 per share charge to second quarter adjusted net earnings compared to the prior year. Combined with the first quarter, the impact of these two elements on the first half of 2013 was approximately $0.11 per share. As we work through the ramp-up of new product introduction and move further along the startup curve of the new machine, operating and converting efficiencies are challenged. While we are seeing steady improvement, these product development efforts have, as expected, exerted cost pressures on the bottom line results. On a quarter-over-quarter basis, the impact has been approximately $0.04 per share and for the six-month comparison in the neighborhood of $0.11 per share. Further elements impacting results include sales price, mix and volume. As mentioned, we elected a more measured approach to our launch of the new premium product to the marketplace and at the same time have worked through the repositioning of our existing product lines. Improvements in our overall cost structure as a result of targeted effort were realized as we moved through 2012. This allowed us to participate in an area of the market we couldn’t compete in previously, the support category. As a result though our base product pricing is holding up well, the falling overall average net selling price is due to the strong growth in the support categories of our product lines as these products generally carry a lower average net selling price. The benefit of an overall improved cost structure can be seen in the impact of operations and other on both the quarterly and the first half results. So let’s examine one of our key value drivers. In 2012, we achieved a 3.3% increase in shipments above the rate of market demand growth. That trend directionally continued in the first half increasing 1.3% over the first six months of 2013. With the second quarter up 2.4% compared to a market that was up approximately 1.2%. As we deliver to the market, the remainder of our new product DublNature products in the third quarter, we expect the shipment growth rate to increase to approximately 4% to 5% during the second half of 2013. And as we continue to target a 6% growth rate in the number of cases we ship in the fourth quarter of this year. Next let’s examine the composition of these shipments to provide a better perspective on the impact on net sale. With our May 20 introduction, our strategic category of products, DublNature and those products that are related to our proprietary dispensing system was relatively flat over the prior year’s quarter although it improved sequentially from the first quarter decrease of approximately 3% from 2012 levels. As I mentioned earlier, the strength of our case growth was primarily in the category of support products, support products are those products that are necessary for our distributors to have a full range of product offerings, but do not carry the benefits of our proprietary dispensing systems or our new ATMOS enabled substrate. Support products were up 4.2% over the prior year in the second quarter. The composition of our shipment volume is important when understanding the impact of volume and average selling price on net sales. Because as I mentioned products in the support categories generally carry a low average net selling price than strategic categories. That being said the benefits of an overall improved cost structure including improved operating efficiencies from our Middletown, Ohio facility allow us to maintain margins in these standard categories while being price competitive. We do expect a reversal of the strategic versus support metric in the second half of the year as the full range of New DublNature products are rolled out. As you expect, we continue to manage all elements of our balance sheet. As a reminder our June 30, 2013 presentation reflects the continuing operations of Wausau. The December 31, 2012 balance sheet has not been restated to effect the impact of the discontinued paper business. At June 30 working capital remain level with December 31. But it’s important to note that the June 30 level reflects a $42.5 million increase in the level of cash and cash equivalents, reflecting the balance of net proceeds from the sale of the technical paper business after the elimination of the amount outstanding on our revolving credit facility. Long-term debt now reflects simply the outstanding senior notes issued on our private note shelf agreement. As we progress to the Tissue expansion, we included this slide to mark our progress on the project. As we now take a view towards furthering the growth of our towel and Tissue business, it’s important for you to understand our current position and the resources available to us. Net of cash and cash equivalents totaled debt at June 30 stood at approximately $103.5 million. This cash reserve along with cash generation from our go forward business provides the resources to fund operations and continue incremental investment. One example is in the growth of converting capacity to meet increasing demand. From an availability standpoint, current agreements provide for issuance of an additional $50 million of senior notes through the Private Shelf Agreement. As mentioned, our long-term debt balance represents $150 million under the private shelf. The earliest maturity from this program is June 30, 2016 and the combined weighted average interest rate of these notes is 4.79%. As part of the sale transaction, we’ve reduced the level of commitment on the revolving credit facility from $125 million to $100 million, including the bank fees associated with our currently undrawn credit facility. Our weighted average cost of debt is approximately 5.1%. Finally, a few comments on capital spending. Our current projection is that capital spending in 2013 will approximate $46 million. Approximately $2 million of that reflects first half spending related to the technical specialty business prior to the transactions closing and $16 million represents spending directly tied to the Tissue expansion project. Capital spending beyond 2013 will be dependent on the growth of our business. As a general target for our company going forward, we would expect maintenance capital to be about $10 million annually. Now, halfway through the year, we remain unchanged in our expected rate of volume growth at 6% as measured by cases shipped in the fourth quarter. We also remain unchanged in our fourth quarter pro forma EBITDA margin target for Tissue of between 21% to 23% and our five year target of between 25% and 27%. More critical to your understanding of the company, we are today introducing 2013 EBITDA margin expectations for Wausau paper of between 16% and 18% in the fourth quarter. Our five-year target for the company is between 22% and 24% and we are establishing a 2017 EBITDA target of $140 million. This slide provides updated assumptions for our key 2013 full year metrics. Important updates due to the sales of technical paper business to assumptions previously provided include depreciation and amortization included in continuing operation is expected to range between $40 million and $43 million. Including those operations that have been discontinued total 2013 depreciation expense is expected to be between $83 million and $86 million. Interest expense will fall within a narrower range of between $9 million and $10 million. Non-cash pension expense for the continuing operations will be reduced by half to approximately $2 million to $4 million. Ongoing pension expense is dependent on several factors, but given the environment we are in today, this should be a good proxy of go forward normal expense. All in for the company in 2013, including the impact of discontinued operations and the additional curtailments and termination charges associated with the sale as well as the expected settlement charges in our cash balance defined benefit pension plan, total pension expense is expected to be in the range of $16 million and $18 million for 2013. For the balance of 2013, our mission is clear; optimize operations, deliver growth on our new DublNature products, and achieve the targeted fourth quarter run rates outlined. With that, I will turn the call back to Perry. Perry?
Perry D. Grueber: Thank you, Hank. Thank you, Sherri. That concludes the formal comment portion of today’s call. Brad, will you poll for any questions please?
Operator: (Operator Instructions). And your first question come from Mike Roxland with Bank of America.
Michael Roxland: Hi. Good morning. Congrats on completing the transaction.
Henry C. Newell: Good morning, Mike.
Perry D. Grueber: Good morning, Mike. Thanks.
Mike Roxland: Just wanted to find out from you, what’s going on with the strategic product categories, the volumes related to that. Why are they flat this quarter? They were down 3%, is that really still due to customer de-stocking?
Henry C. Newell: I think it’s a function of a number of pieces, fundamentally as we manage the higher than expected growth in our support categories and moderated the rate at which we rolled out, double nature. We constrained ourselves in our ability to deliver the growth in strategic products. So I think we’ve worked our way through that. As we look at our order profiles here in July, we’re on a plan to see a significant improvement in our composition as we move through the balance of the year. And I think if we were to think about what would have we expect to see for strategic composition as we move into the fourth quarter? We would expect to see it return to being something north of 50% and targeting 50% to 54% by the fourth quarter. So I think it’s just Q2’s transition and getting to that targeted run rate by the fourth quarter is a real important dimension of our margin improvement.
Mike Roxland: Got it; would it be fair to say then in July that you’ve seen that the shift start to take effect, in terms of you’ve sold it for the month of July and now it’s almost on the month. But where we stand today that you start to produce or sell more strategic products versus the support product, and so you’ve made that transition?
Henry C. Newell: Yeah. So in the third quarter, the primary driver of improvement will be operational. And then throughout the third quarter, we’ll continue to see improvement in the mix with the full benefit of the mix being seen in the fourth quarter. So yes, you’re seeing improvement, but we’re still in the process of introducing those strategic products to our distributors.
Mike Roxland: Gotcha; I think you outlined that expecting case growth of 4% to 5% in the second half. Can you just give us an update as to where you are? Where we stand to the given July trends, relative to that expectation?
Henry C. Newell: So I think July trends are consistent with what our view is to be able to deliver 4% to 5% growth in the second half and beyond pace to achieve our 6% case growth rate in the fourth quarter.
Mike Roxland: So basically you’ve seen that in acceleration relative to the first half. In the first half, there were some transition issues and qualification issues, but July is trending inline with your view of 4% to 5% case growth?
Henry C. Newell: Yeah. Mike, we’re pleased with our progress in July.
Mike Roxland: Okay. Last question and then I’ll just turn it over. What’s happening with Brainerd, I think Sherri mentioned that you’re looking to sell it? I think you also mentioned on the last earnings calls. Have you had any interest in the mill and have to retain bankers to market the mill, what’s going on with that?
Henry C. Newell: We are doing this on our own. I think we’ve got a pretty deep understanding of the potential buyers here. Optimistically, we would hope to sell the mill to someone that can continue to operate it. We have to do that within the confines of our non-compete agreement. We’re making progress and we’re optimistic that we’ll get something done here before the end of the year.
Mike Roxland: Thanks very much. Good luck for the quarter.
Henry C. Newell: Thanks Mike.
Operator: (Operator Instructions) And our next question comes from Ketan Mamtora with Deutsche Bank.
Ketan Mamtora: Hi, everyone. Thanks for the details in the presentation. Couple of quick questions; for Q2, you had total Company EBITDA of $8.8 million. Can you tell us what the corporate line was in that and the comparable number for the second quarter of 2012?
Sherri L. Lemmer: So again from a overall perspective going forward, we’re reporting to you those elements that we believe are important as we move through the quarters, which we’re focusing again on Company EBITDA margin. Looking at the prior year, I believe that was contained within the release at around an adjusted EBITDA margin of $13 million for the second quarter.
Ketan Mamtora: Okay. And then Hank, can you remind us you mentioned about the corporate run rate by year-end? Sorry, I missed that.
Henry C. Newell: I’m sorry I didn’t understand.
Ketan Mamtora: On the corporate line, I think you gave some targets in terms of the run rate number by year end. I missed that number.
Henry C. Newell: Yeah, so I think it’s really a question of we’re targeting a $13 million reduction in overall salaried and SG&A costs. We expect to be at about an $8 million run rate on that $13 million by the end of the year and should have accomplished the full run rate by mid-year or next year.
Ketan Mamtora: Got it, okay. And then can you give us some sense of sort of margin differential among the three grades as you launch these products?
Sherri L. Lemmer: So really what we’re looking for from a strategic and support. And I think this will answer your question. As we look at our strategic versus support, it’s probably 2:1 ratio with respect to the results that you see selling a strategic versus support type category.
Ketan Mamtora: Okay. And so as I would understand DublNature and Artisan would be strategic and EcoSoft would be a support?
Henry C. Newell: So what I think strategic will be, all those products sold through this proprietary dispensing plus those products that are based on our ATMOS substrate. So there is an element of EcoSoft that goes through proprietary dispensing.
Ketan Mamtora: Got it, okay. And then couple of quick ones; on the pension underfunded liability, pro forma for the sale of paper. What would that number be even as of end of 2012?
Sherri L. Lemmer: If we look at where we ended, I can give you where we ended the quarter after we did our transaction.
Ketan Mamtora: Okay.
Sherri L. Lemmer: Our pension liability was about $94 million.
Ketan Mamtora: Got it.
Sherri L. Lemmer: And that compared to the $88 million we had at the end of the year, obviously recognizing some of these impacts with respect to the sale.
Ketan Mamtora: Got it, okay. And then what would be your expectation of purchase of (inaudible) in the outside market on a go forward basis?
Sherri L. Lemmer: So I think that as we communicated before in 2013, we expected approximately 40,000 tons with more than half of that in the first half, and then metering out if we move to the second half and then for 2014, probably half that rate.
Ketan Mamtora: Got it, okay. Thanks very much.
Henry C. Newell: Thank you.
Operator: (Operator Instructions) And no further questions at this time.
Perry D. Grueber: Okay. Thank you, Brad. We anticipate releasing third quarter earnings, the afternoon of Monday October 28 and look forward to our next scheduled conference call set for 10 a.m. Eastern, the following morning Tuesday October 29. We appreciate your taking part in today’s discussion and your interest in Wausau Paper. Thank you very much.
Operator: Ladies and gentlemen, this conference will be made available for replay after 11 O’clock today and running through Tuesday, August 6 at midnight. You can access the AT&T Executive Playback Service at anytime by dialing 1-800-475-6701 and entering the code 297268. International parties may dial 1-320-365-3844. Those numbers again, 1-800-475-6701 and 1-320-365-3844 with the access code 297268. That does conclude our conference for today. Thanks for your participation and for using AT&T Executive Teleconference Service. You may now disconnect.